Operator: Hello, ladies and gentlemen. Welcome to McEwen Mining's Q2 2023 Operating and Financial Results Conference Call. Present from the company today are Rob McEwen, Chairman and Chief Owner; Perry Ing, Chief Financial Officer; William Shaver, Chief Operating Officer; Michael Meding, Vice President and General Manager of McEwen Copper; Carmen Diges, General Counsel and Secretary; Jeff Chan, Vice President of Finance. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to Mr. Rob McEwen, Chief Owner. Please go ahead, sir.
Rob McEwen: Thank you, operator. Good morning and welcome, ladies and gentlemen. Today, I will be discussing the highlights of our operating and financial results in Q2 and the first half of this year as well as our expectations for the balance of the year. Our press release of this morning discusses these matters in greater detail, and members of senior management are on the line to answer your questions. As many of you are aware, our gold and silver assets had a weak start for the year. While activities at McEwan Copper's Los Azules project we're running at a rapid pace. I'm pleased to say that our mines delivered better results in Q2 than Q1 and the outlook for the second half of the year is significantly better. But I'd like to share with you the highlights of the first quarter - this quarter that's passed second quarter. One, the Fox Complex generated gross profits of $6 million and is expected to deliver on our guidance. The San Jose performance was much stronger in Q2 than in Q1, and it too is expected to deliver on its production guidance, but costs will be 10% to 20% higher on a cost per ounce basis. At Gold Bar, the outlook, again, is looking significantly better as a result, and we are increasing the mining rate we'll be mining with a lower strip ratio and processing a higher grade of ore. McEwen Copper released in June, its updated preliminary economic assessment. It displays a project with robust economics, a long life, low production costs and based on an environmentally sensitive approach to mining. Safety at all of our sites was the way we like it. No lost times at Fox and Gold Bar. We improved our balance sheet by reducing our debt by 39% to $40 million. And financially, we consolidate the financials of our 52% owned subsidiary, McEwen Copper. And as I said, we've invested heavily in exploration and other work in order to complete the updated PEA. So our quarter end, our consolidated liquid assets were $85 million, with an additional $29 million in investments. Our working capital was $92 million, and our consolidated net loss in the quarter was $22 million and in the first half, $65 million, again, reflecting the very heavy investment in moving the Los Azules project forward. And we've increased the value of Los Azules significantly during this period, it now has a value of about $555 million implied based on the last financing we did. Our investment in exploration at Fox has given us a resource base and confidence to see a mine life being extended by 9 years. And in Mexico, construction of the Phoenix project is expected to start later this year and provide a 9 year mine life. In terms of our share performance since the beginning of the year to present day, we're up just under 18% in U.S. dollars. And that compares against the GDX, which is down 1.8%, the GDXJ, down 5.2%. Gold's up 4%, the Dow's up 6%. And the NASDAQ is the early one of those that has outperformed. It's up 32%, largely driven appears by generative AI development. And I have to say that the mining world will be embracing generative AI as we go forward like many other industries I'd now like to open the conference call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Jake Selesky with Alliance Global. Your line is open.
Jake Sekelsky: Hi Rob, thanks for taking my question.
Rob McEwen: Thanks Jake.
Jake Sekelsky: So just starting off at the Fox Complex. You mentioned grades should tick a bit higher in the second half of this year. Are you able to quantify that at all? I'm just trying to get a handle on how that might impact costs for Q3 and Q4 heading into next year.
Rob McEwen: Bill, would you like to answer that?
William Shaver: Yes, sure. Yes, Jake, we expect that the grade in the second half of the year is going to be closer to 4 grams per tonne. The second quarter, the grade was closer to 3 grams per tonne. And that goes back to our original budget and mine plan for this year. So it - the original plan had us with a lower grade in the first half of the year and a little bit higher grade. And we're now into the higher grade to the stock we're in, right this week is the grade is more like 5 grams per tonne. So we'll see the grade increase, and so that will move our costs down by a significant amount. And so we'll finish the year following our guidance almost exactly right. The upside, I would say, is the fact that the mill has run significantly better in the second quarter. We had some more or less record months of around 1,250 tonnes per day for the quarter. May and June was actually closer to 1,320 tonnes per day. So if there's upside, it's in the fact that we're - we've been able to increase the tonnage through the mill. And if the grade stays where we think it will, and there's no reason to think it won't be predictable, then we'll have a slightly better second half.
Jake Sekelsky: Okay. That's helpful. And good to see there. And just switching over to Los Azules. Any color on the work that's left for the feasibility study, the timing of the report and maybe the specifics that are milestones that need to be hit just to switch over from expensing investments there to capitalizing them.
Rob McEwen: Michael?
Michael Meding: Sure. So we slate the delivery of the feasibility study to the end of 2024, beginning of 2025. We have confirmed the main consultants that are working with us to the delivery, mainly the most important one I would say, is [Semel engineering] and [indiscernible]. Semel has helped us in the PEA and as well as [indiscernible] was also delivering our environmental impact assessment report. So that is well under the way. We need to drill about 45,000 meters. We have secured already 16 drills to be able to do that. We own 4 drill rigs and bought another two and import permits. We're looking to get another two to ensure that we can get through the drilling program to be able to get all the information required to feasibility level of detail. So I think we are very optimistic going forward. Now with regards to the capitalization criteria, especially the environmental permanent issues plus the feasibility study. Perry, I'm not sure whether you would like to give additional insights?
Perry Ing: Yes. Now, I think that's an accurate statement, Michael. And just for context, I mean, that's a result of us obviously being a U.S. GAAP reporter. And assuming if we IPO McEwen copper at some point, we could have a situation where if McEwen to report under IFRS, it would actually capitalize those costs. The criteria under IFRS are a lot looser, whereas McEwen Mining would still have to continue expensing those costs. So that's just a unique feature of the differences in accounting policies.
Jake Sekelsky: Got it. Okay. That makes sense. That's all on my end. Thanks again.
Rob McEwen: Thanks Jake.
Operator: Your next question comes from the line of Heiko Ihle with H.C. Wainwright. Your line is open.
Rob McEwen: Hello Heiko
Heiko Ihle: Sorry, I was unmute. I hope you can hear me all right?
Rob McEwen: Loud and clear.
Heiko Ihle: Excellent. Would you be able to provide me with the approximation of your labor cost increases from the past, call it, 6 or 12 months by asset. I assume there are some pretty meaningful differences in what you've seen between Timmins or I guess, rather Canada, Nevada and Argentina, please?
Rob McEwen: William, would you like to venture into that?
William Shaver: Yes. I guess that's a question I'm not totally prepared to answer. But I guess our cost in Canada in terms of labor cost is around 7% or 8%. And I would say our material costs are probably somewhere in the range of 10%. And I think we anticipated that we would see a higher fuel price than we're actually seeing. So I think there's some positives there. And I think there's some other, I guess, consumables that we're seeing, which seem to have smoothed out to some extent and not being steel in terms of grinding balls and also cyanide. So I think - if I had to say what the cost increase has been on a year-over-year basis, I'd say it's around 10% or maybe a little bit higher than that. But I think if you use 10%, you wouldn't be wrong.
Heiko Ihle: Moving on to drilling at Gold Bar a little bit. As per your release, your expiration for the second half of the year is on the nearby resources there. You're operating two drills there in the second half, if more is correct. And you were talking about the cedar halt. Now what exactly do you think that will do to the ore body? Are your geologists telling you that's more or less the same type of ore. So metallurgy would be the same? Or is this just creating else? What exactly is the goal, I guess, is what I'm saying. Thank you.
William Shaver: Yes. So the goal of that drilling program is kind of two or threefold. First, we're defining the parameters for ore that we will mine in the relatively near future, meaning next year and the year after. The second part is to find more ore that will - that we'll mine into the future. And it's to -- in both cases, we're trying to get a very good understanding of what the strip ratios are going to be and also where there might be carbon associated with some of these resources so that we're able to mine that in a proper fashion to make sure we can segregate the carbonaceous ore from the ore that doesn't have carbon There's also of - there's also some deeper drilling that we're doing there where I would say we're kind of exploring for perhaps some elephants that are similar to some properties that are just north of us, say, about 20 kilometers away. So - but the focus of the drilling program is to make sure we know what we're doing over the next 18 to 24 months.
Heiko Ihle: I appreciate it. we'll get back in queue. Thank you, all.
Rob McEwen: Thanks Heiko.
Operator: [Operator Instructions] Your next question comes from the line of Bill Powers. Your line is open.
Unidentified Analyst: Good morning. Thanks for setting this up today I just had a couple of questions. I guess, starting in Canada, you - during the AGM, you mentioned that you had a capacity of 1,400 tons per day. And I guess my question would be, is the stockpile has that been able to be reduced at all at the higher rate of mill running? Or is that just - or is that still there? And I guess, are you planning to move towards 1,400 tonnes per day in Q3 and the rest of the year?
William Shaver: Yes. So thanks for the question. The mill tonnage in May and June has increased up to about 1,320 tonnes a day. But meanwhile, the stockpile is still very close to 100,000 tonnes. So although we're increasing the tonnes through the mill, the mine is operating very well. The whole operation is kind of in a sweet spot in terms of the mining operation. So we're keeping up with the milling process even though we've increased it by something more than 15% over last year. So we would like to get the stockpile lower to transfer it over into actual cash. But we also want to keep the mine running at that sweet spot so that we get the optimum mining cost. So yes, I would say we're doing better on the milling where the mine is fine, keeping up and we're continuing to try to improve the throughput through the mill.
Unidentified Analyst: Okay. Thank you on that. As far as Nevada goes, I know there was some exploration around the Atlas pit that was done last year and seemed to have some promising results. Have those - has that been followed up on? And I guess, is that a target for later this year? Or is that something - or if you focus elsewhere you're drilling near term?
William Shaver: We're actually focusing on other portions of our property. The drill holes at the Atlas pit I guess, we found a small amount of ore in one pit wall that at some point, we may go and take, but we're talking about something in the order of 10,000. It hasn't turned out as positive as we hope.
Unidentified Analyst: Okay. And thank you for the update. And I guess my last question would be - I was a little late to the call this morning, but the - if you could - maybe you've gone over this, so this question was asked earlier. But the expansion of the ramp, I know you - are you still planning to put out a study for that? Or I guess, a larger study for that? Or is that something that is going to be moving forward in the balance of this year.
William Shaver: So yes, and we're talking now about the ramp at the stock mine?
Unidentified Analyst: Yes.
William Shaver: Yes, that ramp will be moving ahead. We're doing the final bit of delineation drilling with regard to that part of the project. And we are putting together, I guess, what we're calling an economic analysis, which we'll have early in - late in the third quarter or early in the fourth quarter. But we don't plan to do a revised PEA or pre-feasibility study on that. We're going to basically produce an economic analysis to make the final decision to go ahead. But at this point, we're basically working at full speed to move that project ahead.
Unidentified Analyst: Okay. Thanks so much for all your time this morning.
Rob McEwen: Thanks Bill.
Operator: There are no further questions at this time. Mr. Rob McEwen, I will turn the call back over to you.
Rob McEwen: Thank you, operator. Assuming the metal prices stay where they are and we're delivering on guidance, we don't anticipate having to come to the capital markets to fund any of our development projects. We're in a good position from our liquidity, and we're quite excited about the projects we're advancing. We - there will be exploration news coming out throughout this latter part of the summer and into the fall, both from Los Azules and coming from the Fox Complex. So quite excited by that. Thank you very much, and have a great day.
Operator: This concludes today's conference call. You may now disconnect.